Operator: Ladies and gentlemen, thank you for standing by. Welcome to the fourth quarter 2012 earnings conference call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, December 20, 2012. I would now like to turn the conference over to Howard Frank, the Vice Chairman and Chief Operating Officer. Please go ahead, sir.
Howard S. Frank: Good morning, and good afternoon to everyone. Welcome to the Carnival Corporation conference call. With me this morning is Micky Arison, David Bernstein and Beth Roberts, and we are all here in Miami on the call. Let's start the call. I'm going to turn it over to David, and he can take you through the fourth quarter and the year 2012. David?
David Bernstein: Thank you, Howard. Before I begin, please note that some of our remarks on this conference call will be forward-looking. I will refer you to the cautionary statement in today's press release. Also, all of my references to revenue and cost metrics will be in local currencies, therefore unless otherwise noted, as this is a more useful measure of our business trends. Our non-GAAP EPS for the fourth quarter was $0.13. The fourth quarter came in $0.04 above the midpoint of our September guidance despite a $0.02 impact from Hurricane Sandy. The improvement was driven by higher net revenue yields worth $0.05, as pricing on close-in bookings was 1% better than expected, a trend similar to last quarter. And lower fuel prices, combined with more favorable currency exchange rates, positively impacted the results by $0.03. Both of these improvements were partially offset by higher-than-expected net cruise costs, excluding fuel, costing $0.04 per share. Now let's look at our fourth quarter operating results versus the prior year. Our capacity increased 2.7%. The North American brands were up 3.7%, while Europe, Australia and Asia brands -- or as we call them, our EAA brands -- were up 1.2%. Our total net revenue yield decreased 4.5 points in the fourth quarter but showed sequential improvement versus the third quarter. It should be noted that almost half of the decline in the fourth quarter was driven by Costa. Excluding Costa, net revenue yields decreased 2.4%, driven by a 4% decline in net ticket revenue yields, and that was partially offset by a 2% increase in net onboard and other revenue yields. With respect to our net ticket yields, the North American brands were down 3.7%, driven by declines in late fees in Europe and Alaska, while yields in the Caribbean and all of the remaining itineraries held up relatively well during the quarter. Excluding Costa, our EAA brands' net ticket yields were down slightly less at 3.4%, driven by the European brands, while net ticket yields in Asia were up nicely. For net onboard and other yields, again excluding Costa, the increase was 2%, with increases on both sides of the Atlantic and in all major categories of onboard revenue. On the cost side, net cruise cost per available lower berth day, excluding fuel, was down 1% versus the prior year. The decline was less than we expected in our September guidance. As I have said in the past, it's very difficult to estimate the timing of many of our expenses by quarter, and therefore, the better measure of net cruise cost performance is on an annual basis. As a result of our ongoing efforts to reduce fuel usage, our consumption per ALBD declined 4.4% this quarter, thus continuing a multiple-year savings trend. Fuel prices this quarter were up 5% versus the prior year, which cost us $0.04. In summary, the fourth quarter non-GAAP EPS was $0.13. This was lower than 2011 earnings of $0.28 per share, driven primarily by lower operating income at Costa. Now looking at the full year 2012. As Micky stated in the earnings release, this past year has been the most challenging year in our company's history as a result of the Costa Concordia incident. The ship incident had a profound impact on each and every employee of the company, both shoreside and shipboard, and has driven all of us to reinforce our commitment to the safety of our guests and crew. We have taken numerous steps to identify lessons learned and best practices. In addition, we have and will continue to implement improvements to our procedures and our training programs. Furthermore, we have improved the structure and organization of our health, environmental, safety and security-related audit functions. Over the next few years, we expect to fully recover from this ship incident and continue to build on our leadership position. For 2012, our non-GAAP EPS was $1.88 versus the prior year's $2.42. The decrease was driven by lower net revenue yields costing $0.41 and higher fuel prices combined with unfavorable currency exchange rates costing an additional $0.39. Both of these were partially offset by slightly lower cruise costs, 4% lower fuel consumption and increased capacity, worth $0.25. For 2012, our net revenue yields, excluding Costa, were in line with the prior year. Our North American brands were up slightly, but that was offset by our EAA brands, excluding Costa, which were down slightly. Our 2012 net revenue yields, including Costa, declined 2.5%. Turning to our cash flow. As Micky indicated in the earnings release, our cash from operations was $3 billion, which was more than enough to fund the net capital investments of $1.8 billion, leaving us with free cash flow of $1.2 billion for 2012. By the end of December, we will have returned all of this free cash flow to our shareholders via a $0.25-per-share regular quarterly dividend, our recently announced special dividend of $0.50 per share and by repurchasing 3.5 million of our company's shares. It should be noted that this is the second year in a row that we returned all of our free cash flow to shareholders. In 2011, the dividends paid and shares repurchased totaled $1.1 billion, which represented all of our 2011 free cash flow. Now turning to our 2013 outlook. I will skip net revenue yields, as Howard will discuss that shortly. As you know, we have an excellent record of cost control. For 2013, our operating companies have done an excellent job identifying ways to reduce forecasted costs. However, there are a few unique items [ph] in 2013 that will be difficult to totally overcome which will push our unit cost higher. To begin with, we are expecting that Costa will fill their ships in 2013, which will lead to higher food and other unit costs associated with this higher occupancy. Also, as I have previously indicated, our insurance costs will be higher in 2013. Furthermore, we are anticipating a charge from a closed pension plan for certain British officers. Finally, we are investing in new market development initiatives in Japan, China and Australia, including deployment decisions not yet announced. These unique factors alone in 2013 will drive up unit costs 2%. To complete the cost picture, as you know, we have also had some ship incident-related costs in 2012, which are not expected to reoccur in 2013, worth about 0.5%. The net effect of these factors is that we are forecasting the full year cost, excluding fuel per ALBD, to be up 1% to 2% versus the prior year. Absent these items, we once again expect to offset inflation and keep unit cost essentially flat in 2013. However, even if you include these unique factors, our 5-year expected cost trend from 2008 through 2013 will be flat net cruise cost, excluding fuel, on a unit basis despite inflation. Another multiple-year trend worth noting is our fuel consumption. As a result of our operating company's efforts over the years, we expect in 2013 to use 24% less fuel per berth than we did in 2005. This is a substantial energy saving which clearly reduces our environmental footprint. I want to share with you our current rules of thumb about the impact that fuel price changes and currency changes have on our results. To start with, a 10% change in the current price of fuel, excluding the impact of fuel derivatives, represents a $0.30-per-share impact for the full year. Please note that the impact of a 10% change obviously moves along with the price of fuel. Just to be clear, the price of Brent was just under $110 a barrel when we determined our guidance. The second rule of thumb relates to our fuel derivative portfolio, where the next 10% increase in the price of Brent for the year will not result in any realized gains, as the price of Brent would still be within the band of our collars. However, the next 10% decrease would result in a $4-million loss. For 2013, our protection begins with the price of Brent -- when the price of Brent goes above $127 per barrel, and we begin to pay on our fuel derivatives when the price of Brent falls below $100 per barrel. With respect to FX movement, a 10% change in all relevant currencies related to the U.S. dollar would impact our P&L by approximately $158 million or $0.20 a share for the full year. On a final note, for 2013, at the midpoint of our guidance range, we expect our cash from operations to be $3.3 billion. Our capital investment in 2013 is forecasted to be $2 billion, which leaves us $1.3 billion of free cash flow that we expect to return to shareholders. This would result in a total return to shareholders of over $3.5 billion in a 3-year period from 2011 to 2013. At this point, I will turn the call over to Howard.
Howard S. Frank: Thank you, David. Before I move to the outlook, let me begin my comments by framing the 2013 year. We have 2 ships scheduled for delivery in 2013. The first is the 2,200-lower-berth AIDAstella, which will be delivered in March to our very successful AIDA brand in the German-speaking market; and the next one will be the new-generation Royal Princess, with 3,600 lower berths, which will be delivered sometime towards the end of May. These 2 ships, together with 3 ships delivered during this past year, 2012, will drive a 3.6% increase in cruise capacity in 2013. For the full year 2013, our cruise programs will be approximately 33% in the Caribbean, 19% in the Mediterranean, 12% in Europe outside of the Mediterranean, 10% in the Australia-Asia region and with the balance in various other itineraries. The largest increase in our cruise programs in 2013 from a percentage standpoint is in the Australia-Asia region and in Europe outside of the Mediterranean. Our earnings guidance for 2013 has been established within a range of $2.20 to $2.40 or a midpoint of $2.30 per share, about 20% higher than in 2012. Our earnings guidance for 2013 assumes that the U.S. does not go off the fiscal cliff in January and go into an economic recession during 2013. Hopefully, wisdom will prevail in Washington, and January will be the start of a solid 2013 wave season. In Europe, where we have a strong market presence, we anticipate continuing struggling economies during 2013, much as we experienced during 2012. With regard to our strategy to grow our European cruise businesses, let me make a few comments. From a longer-term viewpoint, we are committed to maintaining our strong national brands presence in Europe. We believe European economies will improve over time and our strong European brands positioning, together with the significant market penetration throughout Europe and the U.K., provides us with a significant market advantage. Even during this difficult economic period in Europe, our European brands continued to provide us with strong profitability and returns on invested capital. And when Europe economies start to grow again, we will have an even stronger competitive advantage. In the Asia markets, we are planning a significant increase in our footprint. In April 2013, Princess Cruises will introduce the Sun Princess to the Japanese market, and we have recently established a Carnival Japan sales and reservations office in Tokyo. With the announcement of the Sun Princess Japanese deployment, response from the market in Japan has been very strong and early signs are quite encouraging. In Southeast Asia, we are adding a second Costa ship this spring, the Costa Atlantica, doubling our capacity in the market. With the Costa Victoria operating in Asia year-round in 2012 this past year, for the first time Costa achieved profitability in China. And the 2013 operating plan forecasts a nice increase in Costa Asia's profitability. We believe Asia represents a significant opportunity to grow our cruise business in the future, and we are currently looking at expanding our business in these new and emerging markets. We recently established a Carnival Asia corporate office in Singapore, headed by Pier Foschi, who has considerable business experience operating in Asia. We'll have further announcements in early 2013 on fleet expansion in Asia beyond 2013. In Australia, Carnival Cruise Lines successfully introduced the Carnival Spirit to the market at the end of this past year, for the year that we're in, 2012, and the response from the Australian consumer has been very strong. The Carnival Spirit will be a year-round ship in the Australian market. So to sum it up, we are very encouraged about our business going forward in 2013. And although the struggling economies in Europe are having some impact on our business, we are very confident that the company will achieve solid growth in profitability over the next several years, and at the same time, be able to return significant excess cash flow to shareholders in the form of dividends and stock repurchases. Now let me turn to the booking picture for 2013. During the last 13 weeks, fleet-wide bookings and pricing, excluding Costa, for the first 3 quarters of 2013 are at the same levels against the very strong booking volumes we experienced last year. Not surprisingly, Costa's pricing is still running behind last year's pricing, but we expect that to change once we lap January of 2012. For our North American brands during the 13-week period, bookings are running slightly behind with slightly higher pricing. For EAA brands, bookings, excluding Costa, are running at higher levels than last year at lower pricing. We are encouraged by the recent North American booking pattern, especially given consumer distraction from the elections and postelection consumer nervousness about the pending fiscal cliff. And the recent pattern excludes some negative impact on bookings from the Northeast resulting from Hurricane Sandy. So we are hopeful that once the fiscal cliff issue is resolved and we get into January and the wave season begins, consumers will start to turn their attention to getting on with their lives and booking their cruise vacations. For the full year, from a revenue yield forecast standpoint, we are forecasting a constant currency increase in yields in the range of 1% to 2%. North American revenue yields are forecasted to come in higher year-over-year. EAA yields are forecasted to be higher when we include Costa, which will have easier comps versus last year. But excluding Costa, EAA yields are forecasted to be lower on a year-over-year basis. Given the economic challenges in the European markets in which we operate, the positive yield outlook include -- which includes, of course, Costa, demonstrates the resilience of our cruise business in Europe, the underlying strength of the European consumer and the propensity for Europeans to take their vacations even during these difficult times. And while we would have liked to see even stronger rebound in revenue yields in 2013, the less-than-robust U.S. economy and the struggling European economies will make higher pricing increases difficult to achieve. In terms of our earnings guidance for 2013, broadly speaking, our forecasted earnings improvement is expected to come from top line revenue growth of 5% to 6%, including -- which includes a 3.6% fleet-wide capacity increase and the 1% to 2% yield increase, which I previously referred to. We are also forecasting lower fuel pricing and a 5% improvement in fuel consumption. Net cruise costs other than fuel are expected to increase 1% to 2%, as David mentioned. All of this translates to an earnings per share range of $2.20 to $2.40 or approximately a 20% increase in earnings from -- if you're using the midpoint, from the $1.88 per share in 2012. Turning to the first quarter, a little bit of color. My comments on bookings in each of these next 3 quarters that I discuss will include Costa's information for both years, unless I otherwise indicate. Fleet-wide capacity for the first quarter of 2013 is expected to be 4.2% higher. 3.6% of that is in North America, 5.1% in EAA. At the present time, fleet-wide occupancy in the first quarter are lower than a year ago, with pricing slightly lower versus last year. There is very little inventory, however, remaining to be sold in the first quarter. In the first quarter for North American brands, there are 65% in the Caribbean, with the balance in various other itineraries. For North American brands taken together, occupancies and pricing are slightly lower year-over-year. As previously mentioned, revenue yield comparisons for first quarter of 2013 versus first quarter of 2012 are tougher, given our strong first quarter North American revenue yield performance in 2012, which at this point was up 5% at this point in time. Caribbean pricing is in line with a year ago. Pricing on all other itineraries, taken together, is lower than a year ago. EAA brands are 24% in Europe; itineraries up from 19% last year; 18% in the Caribbean, down from 22% last year; and 18% in South America, about the same as last year. The balance, of course, is in all other itineraries. On a fleet-wide basis, EAA brand occupancies are behind last year with lower year-over-year prices. On a fleet-wide basis, as was indicated in the press release, revenue yields for the first quarter are forecasted to be 2% to 3% lower than last year. North American revenue yields are expected to be flat to slightly lower, and EAA yields will be lower. Turning now to the second quarter fleet-wide capacity, which is up 3.2%: 2.3% for North America and 4.6% for EAA brands. At the present time, on a fleet-wide basis, local currency pricing is slightly lower than a year ago, with occupancies running behind last year, evidencing the continuing close-in booking cycle that we have been experiencing for quite some time. We expect second quarter occupancies and pricing to show gradual year-over-year improvement as we fully cycle through January of 2013. North American brands are 53% in the Caribbean in the first quarter versus 56% last year, with the balance in a variety of other itineraries. For North American brands taken together, pricing is slightly higher at lower occupancies. Caribbean pricing is higher than a year ago. Prices for all other North American brand itineraries taken together are slightly lower than a year ago. EAA brands are 59% in Europe, up from 53% last year, with the balance in various other trades. EAA brand pricing is lower than last year at lower occupancies. Although occupancy and pricing for the second quarter are behind last year, we do expect to see a catch-up when we fully cycle through the first quarter. Because of easier comparisons, we do expect to see an improvement in revenue yields for both North America and EAA brands by the time the second quarter closes. Now turning to the third quarter. Capacity in the third quarter is expected to increase 3.7%: 4.5% in North America, 2.6% in EAA. Third quarter booking patterns are still in the early stages of development, so I caution not to read too much into this information. On a fleet-wide basis, third quarter occupancies and pricing are behind last year. For North American brands, capacity in the third quarter is 38% in the Caribbean, which is about the same as last year; 24% in Alaska and -- about also the same; and 26% in Europe, which is slightly higher than last year; the balance of the itineraries in various other programs. Overall pricing for North American brands is higher than a year ago at lower occupancies. Pricing for Caribbean and Alaska cruises is higher than last year, while the pricing for European cruises is about at the same levels as last year. EAA brand capacity is 87% in Europe itineraries, which is slightly lower than last year. EAA pricing is lower than a year ago at lower occupancies. As I commented on earlier, it is still early in the booking pattern, and much of the third quarter revenue picture will depend on the strength of the 2013 wave season. We are currently forecasting that third quarter revenue yield for North America will be higher. EAA will also be higher year-over-year, with the yield improvement driven by the easier revenue comparisons for Costa in the third quarter. Excluding Costa, we do expect that EAA revenue yields to decline in the third quarter on a year-over-year basis. And with that, Charlene, I will turn it back to you, and we'll open it up for questions.
Operator: [Operator Instructions] And our first question comes from the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: I guess just trying to understand how much it's that you're being conservative in your guidance versus how challenging the outlook is, because you had talked about, this year, that Costa's occupancy -- the Costa brand alone, that occupancy has been down around 6 points. And so it seems like even just recovering that occupancy alone for the Costa brand would get to the company-wide yield increase that you guys are talking about across all the brands. So I guess I wonder if you can just put some perspective on that. And then, I guess, just how much lower are the other EAA brands x Costa? I guess, that's the only thing that would kind of make the company-wide be -- only up as much as Costa's occupancy recovery.
Howard S. Frank: Let me give you a -- kind of the broad strokes on it because there's a lot of details that we probably can't get into on this call. But we're going to have higher yields in North America, as I indicated. We're going to have higher yields in Costa, and we estimate that perhaps 50% of our yield deterioration in Costa last year will be recovered -- in the neighborhood of that will be recovered this year, in -- this coming year in 2013. And the rest of Europe outside of Costa will have lower yields. So that's sort of a composite of the 3 elements that make up the yield picture. And what I've tried to indicate in my comments, Robin, is that in a year in which we do have increased capacity in Europe, especially in Germany where we also had increased capacity in 2012; and given the headwinds in the economies in Europe and the very close-in booking pattern that we're seeing in Europe, in Germany, the U.K. and in Southern Europe, it's very difficult to forecast yields because it depends on how bookings start to come in, in the wave period. Whether we're conservative or we're not conservative, I think it is a forecast based on the best work that our brands can give us right now in these markets. And could we do better? Sure. Could we do worse? Of course. It is early, and let's see how it goes.
Micky M. Arison: Robin, a couple of points to make is one, I think we've been consistent in saying that recovery at Costa is not a 1-year issue. It's going to be multiple years. And we're forecasting a recovery of about half the yield deterioration. That's one item. Two is it's important to understand that we don't cycle through this until the second quarter because the first quarter was done. And the timing of first quarter in this instance versus competitors is very important, because it did happen in the middle of our first quarter when the first quarter was done. So that's impacting it as well. So I think those 2 -- the combination of those 2 things significantly answer your question.
Robin M. Farley - UBS Investment Bank, Research Division: And maybe just one point of clarification, because clearly, no one would have expected full recovery at Costa in 1 year. But it seems like the occupancy would be something that could come back pretty quickly, given that it came back between -- from January until the end of this year, that -- therefore, that 2013 Costa occupancy would be pretty well recovered, even though there would clearly be work to do on the price recovery. Is that occupancy for Costa -- are you not expecting it to be back to recovering those 6 percentage points of occupancy?
David Bernstein: Robin, yes, we are -- the 50 -- included in the 50% that Howard mentioned is a full occupancy recovery. Costa was very close to normal occupancy in the fourth quarter, and we are expecting normal occupancy and full ships for 2013. And that is the full 6% recovery in their occupancy. But as Howard mentioned, given the economy in Europe, they are expecting some price recovery on top of that, but the overall economic situation in Europe is tempering the amount of price recovery that they are expecting to get.
Beth Roberts: Plus, I would like to add if you expect the first quarter being down in pricing for the Costa brand, then their recovery in the back half of the year is a little bit heavier pricing.
Operator: And our next question comes from the line of Felicia Hendrix with Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: So, Howard, this is also for you, just as I'm trying to digest your guidance. And I'm going to kind of preface my comments with knowing that -- with just acknowledging that. And you all have seen, as we've talked about this for many years, that talking to travel agents doesn't necessarily always correlate to what you guys are seeing. But a lot of us do it because it's helpful in our research. And that being said, our travel agents are implying to us that the 2013 yields in North America are more robust than your guidance would imply. So -- and then also on top of that, just lower capacity industry-wide should also help. So kind of if you add those 2 together, what you're seeing is that North America seems more muted than a lot of us were expecting. And I'm just trying to figure out, is this more related to perhaps the fiscal cliff right now, what we're seeing? Maybe people are holding back. Maybe some Sandy. Or are we just totally off?
Howard S. Frank: Well, I'm happy to hear that travel agents are feeling that pricing is going up. I think that's a positive. I mean, I don't know how...
Micky M. Arison: But we've also said that North America pricing is up.
Howard S. Frank: Yes. I don't know how...
Felicia R. Hendrix - Barclays Capital, Research Division: Well, they're saying more than what you're -- higher than what you're saying.
Howard S. Frank: I don't know how that translates to our outlook, though, because I think there are many factors that play in our yield outlook that travel agents -- you can't translate from travel agents' comments and/or their individual data points. And it depends on what they're selling. If they're selling -- Caribbean looks strong now, so Caribbean business is pretty good. But then, there are long cruises. There's Europe. There's a whole variety of things that we look at. And when you ask them a question, I'm not quite sure how it's asked, how the details of it is...
Micky M. Arison: [indiscernible] first quarter is not in their mindset.
Howard S. Frank: Yes, so it's very -- but I guess the bottom line is it's hard to know when we see the reports that you guys write in terms of Europe, canvassing of travel agents, and we kind of scratch our heads -- sometimes, it's right on and sometimes, we kind of scratch our heads and see a little bit differently than they do. So it doesn't always correlate.
David Bernstein: One thing that you've got to keep in mind is that if you look at it on a quarter-by-quarter basis, we gave guidance for the first quarter down 2% to 3%, because as Micky said, when the incident happened last year, we were almost done -- we were halfway through the quarter and the booking was essentially done. And last year, our yields were up quite a bit in the first quarter, so we're going to be down 2% to 3%. Howard had indicated we do expect the second quarter to be up. But when you look at the full year guidance of 1% to 2%, that does imply, let's say, 2% to 3% yield increase in the back half of the year. So it's possible that what you're getting in the discussion with the travel agents is more relating to those types of prices than it is the first quarter, where we're down 2% to 3% from a very strong prior year.
Micky M. Arison: Yes. Last year, in North America, we were up 5 points in the first quarter. And I don't think the travel agents are focused on when you cycle through a quarter. They're just focusing on the general business.
Felicia R. Hendrix - Barclays Capital, Research Division: Yes, that's helpful. And then, Howard, something that you said actually gets to the next point of my question, which is, can you just kind of give us some color how things -- you said that the Caribbean is strong now, but maybe some longer cruises aren't doing as well. Can you just give us some color so we can understand the consumer mentality in terms of what things are selling well and what things have more challenges?
Howard S. Frank: Can I just say that our booking pattern in the fall has been strong? When you consider last year, it was extremely strong. But again, until we cycle the event and get into wave season, it just makes it very, very difficult.
Micky M. Arison: Yes. And on top of that, we had the elections this year, which always presents a challenge in terms of consumer distraction. And then right after the election, when things start to normalize, we had the issue with the fiscal cliff, which continues to nag us. So it -- and as well as Sandy. But I think -- yes, I mean I think we're doing okay. I think bookings -- I think if we're seeing challenges from a North America standpoint, it's more on volume in terms of we're running behind. Although pricing is okay for Europe and Alaska going forward, we're running behind on occupancy. So the question is, is that going to resolve itself during wave season? We start to -- and then there is also the challenge of the higher air costs that we're all dealing with on the longer cruises, so -- but we're trying to hold price and we think -- everybody thinks they're going to get there. But it's a long time between now and late spring and summer when these cruises start to occur.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. So it sounds like your guidance is not trying to anticipate what things might look like once we get past hopefully this fiscal cliff issue and other things; it's what you're kind of seeing now.
Howard S. Frank: The guidance is based on what our operating companies are telling me. And then we kind of take a look at it and if we think that -- we may make some minor tweaks to it, but only minor tweaks to it.
Micky M. Arison: We have a couple of things that makes forecasting always challenging at this time of year. One is the booking curve has clearly moved in, which makes forecasting tougher. And the fact that we have to do this prior to wave also makes it tougher.
Felicia R. Hendrix - Barclays Capital, Research Division: You could change your fiscal year.
Micky M. Arison: Yes, we could. We've talked about that.
Howard S. Frank: I think the best thing is to resolve the fiscal cliff, and we'll all be happy. Even if we have to pay more taxes, let it happen already. It's painful.
Operator: Our next question comes from the line of Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: My question is, if you go back to when you had your last earnings call, have things changed meaningfully? Like if you were to have given guidance then versus now, would you say it's about -- would have been about the same?
Howard S. Frank: When you say would I have changed guidance, I don't think I know what guidance would've been back 3 months ago for 2013.
Micky M. Arison: I would say one thing. We have been saying that Northern Europe and the U.K. have been strong. And in fact, in '12, we had a good year in both Germany and the U.K. We're starting to have -- to see some effect of a weaker economy both in the U.K. and Germany, which we really didn't see a whole lot in '12. So if there's anything different, I'd say we're a little bit more concerned. Although those brands are performing well, we are a little bit concerned going forward as the booking curve has tightened in those countries.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Yes, I guess I was just trying to get at, have things gotten a little bit incrementally better or worse since then? And that's helpful. And as you kind of look out to Europe, I know you typically talk about some of the markets that are weaker and stronger. Has anything changed over the last month or 2 in any of the markets to make you a little bit more optimistic or pessimistic? Just maybe point out a market or 2 that you think has maybe changed.
Micky M. Arison: I think I just did. It's really Germany and the U.K. where we had a very good '12, looks a little bit weaker and the booking curve has moved in.
Howard S. Frank: On the other hand, I should say, in Germany, we have -- just in the German market, we have a lot of additional capacity coming in on top of capacity last year. So there's a big capacity increase and we've got a closer-in booking curve. Germany, you may recall the German market, I think, was more profoundly affected than -- like Italy as a result of last year's -- last January's event. So I think that's been a little bit slower to come back, although all the data and consumer research we've recently seen suggests that the German market will come back and that things -- and people are feeling much more positive about taking cruises. So we think that's still a good market.
Micky M. Arison: The other thing that I haven't seen a lot of focus on is some of our competitors have talked about reducing capacity in Europe. But in reality, our 2 largest competitors together have increased their Northern Europe capacity by over 20% next year. So the Northern Europe itineraries have tended to be the highest yielding itineraries in the European market, and that capacity increase -- it will be interesting to see how that all plays out.
Operator: Our next question will come from the line of Harry Curtis with Nomura group.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Quick question. This 1% to 2% is not a particularly satisfying number, and could you give us your perspective after 2 years of Arab Spring and Costa? Is it disappointing to you? And do you think that some of it is perhaps related to the amount of capacity that has moved into Europe? Does it maybe argue for moving some of the capacity out of Europe? And then the last add-on question is, from the point of view of profitability per berth, how close are you in Asia to maybe shifting some capacity to Asia and lifting your yields and EBITDA per berth?
Howard S. Frank: So you made 3 comments, Harry. This is Howard. Is the 1% to 2% not -- are we not satisfied with it? I think -- directionally, I think we're satisfied with it. Sometimes, it's difficult -- consensus for yields in the investment community don't always match reality or what we see as reality in our particular markets, or even what our competitors are doing. We do have a lot more increase in capacity, I think, in 2013 than our competitors have. One of those increases will be in the German market. Perhaps that -- and on top of capacity increases we had last year. So when you look at Europe and Germany, we like the business there. We think it's a great -- it's an under-penetrated market. It's got great demographics. And even in these very challenging times, we get very good profitability from these brands, even if yield's down 1% to 2%, and excellent returns. So we see the strategy as staying in Europe as the right strategy for us. And to continue to penetrate those markets, it only strengthens us from a competitive standpoint in the future. So -- which is my comments -- my earlier comments. I don't think moving ships around because we start to see some weakness in a particular market. By the time you move them around and get them to the new markets, then the old markets come back. So to us, that's a very short-term solution to what we think is a poor long-term strategy.
Micky M. Arison: A couple of things. One is I think you got to look at the yield improvement after the first quarter, which is higher than the number you stated. Secondly, satisfied -- I wouldn't be satisfied if it was 5 or 6. I mean we always want more, obviously, and we always push for more. The reality though is that our focus is profitably, our focus is profit per berth day. We get overly focused on yield sometimes. And a great example of this is the fact that we're forecasting fuel consumption to be down 5% next year. And to do that, we had to make some itinerary adjustments that risk yield. And so we'll trade yields for lower cost. And then it -- the yield number looks lower. The example I've used in the past was when we went from 6 to 8 transatlantic on Queen Mary to 7, we would be perfectly happy to have gotten 6.5 days of yield versus 7 because the reduction in the fuel cost made up for more than the 1-day yield. So it's -- yield is just part of the equation. The real key is doing everything we can to increase our profit per berth day.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And then just a quick -- I'm sorry, go ahead.
David Bernstein: I was going to say, your last -- you mentioned Asia there at the end, and I think both Howard and I alluded to Asia and the fact that there will be more announcements relative to Asia going forward.
Micky M. Arison: Yes. As you know, we've opened a Singapore corporate office that Pier Foschi will be heading up for us. And by the end of the first quarter, we should have more deployment announcement in that region.
Howard S. Frank: And also, Mario Draghi said earlier in the week that the European economy is coming back in the second half of the year. So we're waiting for that to happen.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And God bless us if his crystal ball is accurate. Just one follow-up on Asia. Separating yield growth from cost, how does Asia compare to Europe and North America from both your ability to price up? And also is it just more expensive to operate in Asia?
Micky M. Arison: It is more expensive to operate. And brand by -- the question you asked is very difficult when you take a mix of all our brands. But if you look at the Carnival Cruise Line deployment in Australia, yes, their yields are up. If you look at the Princess deployment, it's also positive. So clearly, again, we're going to make deployment decisions, hopefully long term, to increase our profit per berth day.
Howard S. Frank: But the costs that we're looking at today with a very limited fleet, especially in Asia, it's not necessarily representative. If we had built a fleet there, we have more ships over there, we'll get some -- certainly some shoreside benefits from it. And as infrastructure is created over there to handle the ships, there will be some benefits to cost. So it will take some time, but costs essentially are higher, but the yields are good. So we're okay. And we'll just have to be a little bit patient. But we think it's a great market to develop and a great new market for us.
Operator: And our next question comes from the line of Sharon Zackfia with William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I'm kind of intrigued by the comments you made about the U.K. and Germany getting somewhat softer. And I think it would probably be helpful to know just roundly kind of what the yields were like for your U.K. brands and how [ph] you did this year, and what the differential might be going into 2013 and how much that's weighing on your overall yield guidance.
Howard S. Frank: Yes, look, I think we said yields will be down. We're not going to get into that. We don't really, Sharon, discuss yields for individual companies in the group. We never -- we just don't think that's a smart thing to do from a competitive standpoint. But from a directional standpoint, they're going to be down. And we have gotten more into the yield issues in Costa because of the unique circumstances last year, but we're not going to go beyond that.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I guess, are you seeing stabilization yet in either of the countries? Or is it a kind of moving target right now?
Howard S. Frank: What we're seeing is a close-in booking pattern both in Germany and the U.K. And we haven't seen actually that much deterioration in pricing. But the question is, if you don't start to see the business coming in strongly in wave season, you may have to move some pricing down. So some of this yield guidance we're giving you is really a future, to look at the crystal ball and say, "Well, what possibly can happen in the third and fourth quarters here?" And it's difficult -- it's more difficult to estimate it today because of the closer-in booking pattern.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Can you remind us what the -- sorry, go ahead.
Micky M. Arison: Clearly, the German economy weakened in the second half of the year, and all of our capacity increase in Europe next year is in Germany. So it's not surprising that there'd be some pressure on yields in Germany. On the other hand, the brand -- the primary brand in Germany is a stellar performer for us and will be next year as well at slightly lower yields.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I seem to recall the U.K. has a long booking window. I don't know if that's the same for Germany. Can you remind us how those booking windows kind of compare to the overall average?
Micky M. Arison: The U.K. had our longest booking window.
Howard S. Frank: But they also sell long cruises. They have -- especially in the winter time, they'll -- they do have a few around-the-world cruises and long cruises...
Micky M. Arison: 5 ships. 5 ships going around the world.
Howard S. Frank: So those tend to book way in advance. So the first quarter in the U.K. looks like it's shaping up pretty well right now. It's really the forecasting the second, third and fourth quarter with the closer-in booking pattern, because the cruises you're selling coming into the spring and summer are shorter-duration cruises. It starts to look like them -- like the booking patterns in many of the other businesses including our German business, which is shorter cruises.
Operator: And our next question comes from the line of Steve Wieczynski with Stifel, Nicolaus.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: David, I guess this question is probably best for you. I think you said on -- I want to make sure this is right. In terms of the cost assumptions next year, did you say if you strip out the higher insurance cost and the higher pension cost and the development cost, your cost assumption would basically be flat?
David Bernstein: Correct. And if you take into account the prior year ship incident costs, we would have been flat year-over-year.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then what happened in the fourth quarter in terms of is there -- were there 1 or 2 things that kind of drove that cost number higher than you guys were expecting?
David Bernstein: No. It's all the way across the board in a number of instances. There wasn't anything specific. It's -- as I said before, it's really tough quarter-by-quarter. I mean, if you remember back in the third quarter, we beat the cost guidance we -- and this quarter, we were above. So you got to look at the full year on an annual basis.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then on the onboard side of things, those numbers have actually been trending, I think, a little better than most people have expected, and just maybe how you're thinking about the onboard trends as we move into '13.
David Bernstein: Our onboard trend overall around the globe is -- for '13 is very similar to '12. '12, we were up like a little over 2%, and our guidance for '13 is in the similar range with increases in all the major categories. Our operating companies have done a great job with some new initiatives, and so we're expecting those to be driven higher as well.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then I guess last question for -- probably for Micky, I guess. In terms of the -- with the potential changes here in tax law, I mean, how are you guys thinking about deploying your free cash here over the next couple of years back to shareholders? Is it kind of a wait-and-see mentality right now in terms of how you do that? Or can you just give us some color on that?
Micky M. Arison: Well, what we've said over and over is we're going to return free cash flow to shareholders. Until we know what the tax law is going to be, it's hard to really respond. But once we know that, obviously, we'll take it to the board and see what -- if they prefer a different direction or same direction or whatever. But until we see the final package, it's very hard to guess. And so what we've done so far, as you know, is that special dividend at year end, and we're waiting to see what happens in January.
Operator: Our next question comes from the line of Tim Conder with Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just to revisit your guidance on Europe, you've seen Thomas Cook and TUI basically imply that over the next 6 months, that things are kind of flattish in terms of bookings and pricing. So again, just to summarize -- or to take that guidance versus what you're seeing out of Europe x Costa, is it truly just a capacity issue, that you're adding capacity in what's been your strongest market, Germany? Is that, to boil it down, what we can take away as the difference?
Howard S. Frank: One of the ways -- I don't know enough about how they manage their business at TUI and Thomas Cook. But they can -- I do know historically they can move capacity up or down in order to generate higher prices. So it's not always a good analogy to look at what they're doing and how they're faring in the market from a pricing standpoint versus we're doing -- certainly, we do have increased capacity.
Micky M. Arison: Yes. Generally, when they talk about volumes, they talk about absolute volumes. When we talk about -- and we're talking about capacity adjusted. I don't believe they do that. And so if we just had flat volumes, we'd be in deep concern, especially in Germany where our capacity increases.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay, okay. And then to revisit, I guess, some framework on Costa, given the 2 ships that are out of service and then the Concordia top of that, I think in previous calls, you mentioned that $300 million would be sort of a new normalized run rate as far as profitability in Costa. I just wanted to clarify, are you counting in the new ships that Costa will be taking delivery of? It would seem that yes, you lost 2 ships. You sold one, got rid of one and then the Allegra, what happened there. Those weren't that, I can't say, profitable, but had less profitability, higher cost structure clearly than Concordia. But now you're adding -- going to be adding 2 new ships. Could that -- with the new ships, could that new normalized run rate be back closer to the original $400 million?
Micky M. Arison: First of all, I'm not going to comment on your number. I'm not exactly sure where it came from. But we only have one ship under contract for Costa at the end of '14, so the profitability would not be seen until '15. So I mean that's all I can say at this point, that we'd expect Costa's profit to be up in '15, obviously, with at least the capacity increase that they have.
Howard S. Frank: We do believe that Costa -- that over -- from after '13, we continue to believe that Costa will continue to grow its profitability in '14 before the new ship is delivered. So whether it gets back to the numbers that they previously had, that will take a few years. We've always said that, that may take a few years.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And then a final question relating to the return of capital. It appears again that the company, as you stated in the past, was going to return the excess free cash flow. With the special dividend this year, has there been any further thought regarding coming up with a formularic [ph] portion of that on a go-forward basis?
Micky M. Arison: I think we're now defering to see what comes out of Washington and then we'll make a decision on how we go with that forward.
Operator: And our next question comes from the line of Assia Georgieva with Infinity Research.
Assia Georgieva: A couple of questions. First of all, the good close-in bookings that we have seen both in Q3 and Q4, are you expecting that Q1 is not going to be a repeat of that? We are basically a quarter of the way into the quarter, and I would think you're already there seeing those, or you don't see them and therefore guidance is not including any pickup on sort of just near-term pricing.
David Bernstein: Yes. We gave you our best guess for first quarter, which included what we expect the close-in bookings to be. We're typically 85% to 95% done at this point for the first quarter, and we're in that range. So it's very hard to read every last booking. Maybe we get a little better or a little worse, but we gave you our best guess for the first quarter.
Howard S. Frank: Which is what we do every -- It's what we do every quarter.
Assia Georgieva: I understand. But it's safe to assume that you expect the continuation of this trend at least to some extent in Q1.
David Bernstein: We built into that forecast good, solid bookings for the remaining 10-odd percent of the occupancy for the first quarter.
Assia Georgieva: Okay, okay. And the second question is, based on all the troubles that Europe is in and the fact that shipyards may be a lot more open to discussions in terms of ship cost, have you looked at any newbuilds? Especially the Carnival brand is not going to have anything any time soon and Holland America has been without a newbuild for a while. In 2015, you do have almost 5% capacity coming in, at least based on my figures. So for 2016, '17, is this a good time to actually be speaking to them? Or are you holding off and focusing primarily on returning free cash to shareholders?
Micky M. Arison: Well, we've committed -- we've said now for 5 years that we'll be building 2 to 3 ships a year. That's what we're doing. Whether the yards are doing well or not doing well, whether the price is plus or minus 5% or 10%, it's not going to make us build more or less. I mean, we're going to do it when the returns are right and in a much more conservative way than we've done in the past. We believe that the growth rate in the industry needs to slow, and that's what we're doing.
Assia Georgieva: Okay. So, Micky, if I read you correctly, right now, you'll be holding off to see how the near-term demand picture, meaning over the next 6 months, a year, develops before you actually commit to anything?
Micky M. Arison: I don't want to say that it has anything to do with near-term demand because these are long-term decisions. These are 3- to 4-year delivery and then 30-year assets. So I would say that our strategy hasn't changed. We're talking 2 to 3 ships a year. There's nothing imminent. We've just recently announced a Carnival Cruise Line newbuilding and a Holland newbuilding, and we have nothing imminent right now other than what we recently announced.
David Bernstein: And for the years you're talking about, '16, '17 and beyond, we have plenty of time, so we don't have to make decisions today. We can do that at some point in the future.
Operator: And our next question comes from the line of Steven Kent with Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: I think we've exhausted just about everything. But just to be fair to you guys, I mean, it does sound like this is really a short-term booking issue and that given what you're seeing right now, it's hard to really give much guidance beyond what you've provided. So am I reading that correctly? I think you said it earlier, Howard, just about this is the time of year you give the 2013 and this is what you're dealing with at this time.
Howard S. Frank: I mean, it certainly is more challenging to give guidance for 2013 because of the closer-in booking pattern that we're seeing, and it -- so there's sort of a wider span of where this -- how this could all play out than in past years when we had a longer-term -- we had a longer booking pattern. So it's more of a challenge. There's more estimating here, and we think we've factored in reasonable estimates. And as I said before, if we do better, that would be great and if we -- but it does -- there are no guarantees. These are just our best estimates.
Howard S. Frank: Clearly, 3 or 4 weeks into wave season, you have better sense of where you're going, so...
Operator: And we have a question from the line of Rick Lyall with John W. Bristol.
Richard Ellis Lyall - John W. Bristol & Co., Inc.: I have 2 questions. The first is the fuel efficiency. 5% is a good number. I think it's much stronger than a 2% to 3% kind of number you were guiding to over the last several years, and some of that is itinerary-driven. How much further do you have on the itinerary runway to realize fuel efficiency versus other operational improvements?
Micky M. Arison: It's funny because each itinerary is modeled, you make these decisions based on certain price levels of fuel, and so you're willing to give up x amount of yield for y amount of fuel savings when fuel is at one price and a different decision based on another price. So it's hard to tell. I think our brands were very aggressive this year to get the fuel cost down and took some yield risk to do it, and I'm sure that's baked into their forecasts. And we firmly supported those decisions, and there is some additional risk to it on the yield side. But we believe that profitability-wise, it's the right decision. To go beyond -- a lot of these discussions are longer than 1-year term. And so I believe that we will see significant fuel savings in '14 as well. But whether it will reach this kind of level or not, I don't know. Historically, we've been at the 2% to 3% range a little bit more. And -- anyway, we pushed hard this year and I suspect we will continue to see some savings in '14.
Howard S. Frank: And new ships, more efficient ships will drive some of the metric as well, plus retrofitting ships with new technologies are also drivers. It's a combination of things that are driving the 5%.
Micky M. Arison: About half of it has been -- about half or a little bit more than half next year is itinerary-driven.
Richard Ellis Lyall - John W. Bristol & Co., Inc.: All right. Second question, and this is a very long-term question. What do you think the global balance of your capacity should be? How much should be in Asia? How much should be in exotics? How much should be in Europe? How much in the U.S.?
Howard S. Frank: I don't think you really know the answer to that question, because as we all look at the Asian markets as a new market and potentially a strong market for us, it's going to take a while to build it and to get the visibility for cruise vacations in those markets. Over time, look, I mean Asia, it should be no different why Asia is any different than Europe and the U.S. So you can see a relative -- but over the long term, you can see a relative equal balance. But it can take a long time to get there. I'm talking over the...
Micky M. Arison: This is the kind of thing that we're tweaking all the time. We're always working on the margin. I mean yesterday, Carnival Cruise Lines announced a ship being moved from the East Coast to the West Coast because of demand cycles in Canaveral versus Long Beach. So you're looking at this -- management is looking at this stuff every day and looking towards '14 and '15 and where their brands should be relative to where they are now.
David Bernstein: But with a 2-year decision time horizon, as Howard said, this will take time to balance out.
Operator: And there are no further questions at this time. I'll turn the call back over to you.
Howard S. Frank: Well, thank you very much for the good questions and the tough questions, and we want to wish -- take this moment to wish everybody a happy and healthy holiday season and new year, and we look forward to seeing you in the new year. All the best. Thank you.
Micky M. Arison: Thanks, everybody. Happy New Year...
David Bernstein: Thank you. Happy holidays.
Micky M. Arison: Happy holidays.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.